Operator: Good morning, and welcome to the MarineMax, Inc. Fiscal 2023 First Quarter Conference Call. Today's call is being recorded. All participants have been placed in a listen-only mode. [Operator Instructions] We will have a question-and-answer session at the end of today’s prepared remarks. At this time, I would like to turn the call over to Scott Solomon of the company's Investor Relations firm Sharon Merrill. Please go ahead, sir. 
Scott Solomon: Thank you, and good morning, everyone and thank you for joining us. Hosting today's call are Brett McGill, Chief Executive Officer and President of MarineMax; and Mike McLamb, the company's Chief Financial Officer. Brett will discuss the company's operating highlights. Mike will take you through the financial results. Brett will make some concluding comments and then management will be happy to take your questions. By now, you should have received a copy of the earnings release issued today. If not please e-mail our IR team at hzoinvestorrelations.com and a copy will be e-mailed to you. With that, I'll turn the call over to Mike McLamb. Mike? 
Mike McLamb: Thank you, Scott. Good morning, everyone and thank you for joining this call. I'd like to start by reminding you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of today. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to; the impact of seasonality and weather, global economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share, and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. Also on today's call, we will make comments referring to non-GAAP financial measures. We believe that the inclusion of these financial measures helps investors gain a meaningful understanding of the changes in the company's core operating results. These metrics can also help investors who wish to make comparisons between MarineMax and other companies on both a GAAP and a non-GAAP basis. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is available in today's earnings release. With that, let me turn the call over to Brett. Brett? 
Brett McGill: Thank you, Mike. Good morning, everyone, and thank you for joining this call. Let me begin by thanking the entire MarineMax team for driving record December quarter revenue and gross margins, while maintaining our commitment to customer service. Our team continues to deliver despite industry choppiness caused by a return to seasonality and by a more challenging economic environment. We executed well in the first quarter delivering revenue of nearly $508 million and gross margin of 36.8%, a significant increase over last year's December quarter record. The margins were certainly aided by IGY, but new boat margins and our higher-margin businesses generally demonstrated resiliency and contributed to the performance. This shows the success of our long-term growth strategy of adding high-quality higher-margin businesses to our portfolio. And to that point, it has been less than four months since our acquisition of IGY Marinas and the business is performing on plan. IGY has a great team and they do an exceptional job building long-standing relationships with their clients by consistently delivering a world-class customer experience. In December, IGY hosted the Caribbean Charter Yacht Show at our incredible Yacht Haven Grande property in St. Thomas. The event was met with an outstanding response from charter brokers and managers who attended the show and the turnout exceeded expectations. Plus the IGY team is currently in discussions with respect to several potential growth opportunities. IGY is the leading global brand for marinas and we will work to expand using this new growth platform. We are already starting to see strong synergy with Fraser Northrop & Johnson with the exclusive IGY Trident program. We are continuing the IGY integration and look forward to capitalizing on the best practices and resources to drive growth. It is clear from industry data and trends that the seasonal patterns of the industry have returned. It is also clear that the increased economic challenges are impacting buyers. Buyers of premium and larger products still seem less impacted, which has been the historical pattern as well. Admittedly, it is difficult to get a precise gauge on the granular market trends between what is seasonality and what is softness, but both are impacting the industry. Our comparable store sales declined about 1% in the first quarter, which when compared to strong comps last year, is great to see. While our unit volume was down more than we had expected, the strength of the premium segment continues to insulate us from the majority of the unit pressure affecting the overall industry. And our backlog, by historical measures, remains very strong. From a supply chain perspective, there is clear improvement in smaller less complicated product. And that type of inventory is building. But some of the larger more complicated international product still has various issues, which should keep overall inventory levels for that type of product reduced as we move through 2023. Inventory is up both on a sequential and year-over-year basis, driven largely by smaller product growth. Overall, I am proud of the strong earnings and cash flows generated in the first quarter. Adjusted EBITDA is close to flat to last year's record quarter, despite the more challenging environment. Plus our team is focused and working to drive further improvements to our operations as we progress through 2023. While I am proud of our financial results, I continue to be most impressed with our team's ability to take excellent care of our customers. This has always been a critical strategy of ours and it has never been more important. This strategy is what leads to future business and market share gains. Turning to our recent highlights since our year-end earnings call. We have continued to focus on strategy growth initiatives. In the first quarter, we completed the acquisition of Midcoast Marine Group, a full-service marine construction company based in Tarpon Springs Florida. The addition of Midcoast Marine benefits us two ways. First, we gained both the skilled team and equipment to cost effectively address our own marina construction needs and new service offerings. Second, the acquisition includes waterfront real estate along the Anclote River in Tarpon Springs, property that has multiple benefits for us in the important West Florida market. We also continue to build our digital capabilities. We recently launched New Wave Innovations, a new business developed to invest in and grow our technology-related products and services. Innovation and technology are the centerpiece of our strategy, to be an integrated leader in marine products, services and experiences. New Wave Innovations is the engine designed to enable us to achieve that vision. To help fuel that technology engine, we recently acquired the remaining interest we did not already own in Boatzon, the world's only 100% online boat and marine digital retail platform. By giving consumers the ease and convenience to browse for, finance, purchase and insure a boat online, Boatzon has the potential to dramatically improve the boat buying experience. We are also excited about the momentum of our manufacturing businesses, Intrepid Powerboats and Cruisers Yacht. Both are continuing to perform well and have been great additions to MarineMax. We look ahead with confidence that our resilient business model will enable us to continue to deliver strong results for our shareholders. Our strong balance sheet provides the flexibility to capitalize on attractive opportunities, while continuing to invest in and drive organic growth. And with that update, I'll ask Mike to provide more detailed comments on the quarter. Mike?
Mike McLamb: Thank you, Brett, and good morning, again, everyone. I'd also like to start by thanking our team for producing a strong start to fiscal 2023. For the quarter, revenue grew to a new December quarter record of $508 million. The increase was largely due to the October acquisition of IGY, as well as revenue from both Intrepid and Cruisers Yachts, which are excluded from the same-store sales calculation. Same-store sales declined modestly by 1%. But due to a combination of a return to seasonality, as well as a more difficult economic environment, our units declined double digits. Our unit decline, while substantial, was less than that of the industry, indicating share gains. Our average unit selling price expanded significantly, mostly driven by a greater mix of larger more premium product. Most in the industry believe a lot of the unit decline is evidence of a return to seasonality. That appears to be supported by generally positive trends at Northern boat shows. I would add our same-store unit trend is about flat to our unit trend in the December quarter of 2019 with premium product generally showing growth. Gross profit dollars increased to $187 million, an increase to a new December quarter record of 36.8%, up 140 basis points. The growth was driven primarily by the acquisition of IGY, reflecting our strategy of adding higher-margin high-quality businesses to our portfolio. Absent IGY our margins were flat to last year's record, which is encouraging in this environment while also reinforcing our focus on the premium segment of the market. Total SG&A expenses rose about $20 million when removing the unusual costs in the quarter. Well over half of that increase was due to the acquisition of IGY and most of the remainder was likely due to our infrastructure being built greater sales than we delivered seasonally. SG&A also was impacted by the timing of internal sales of Cruisers Yachts to our stores versus to retail buyers. In essence that results in SG&A expenses with no benefit of revenue or gross profit until a sale to a third party by our stores. Having said that our team is focused on aligning costs where we can, while still ensuring we are taking care of customers. As mentioned on our October call and as noted in the release because of the IGY acquisition, we are expanding our financial disclosures to include adjusted EBITDA and adjusted net income. In addition to non-floor plan interest, taxes, depreciation and amortization, adjusted EBITDA excludes stock comp expense, acquisition costs, the change in fair value of contingent consideration, hurricane expenses and foreign currency changes. We think it's a better measure to see how the company is performing. For the quarter, adjusted EBITDA was $53.2 million compared with $55.3 million in the same period last year. Ignoring currency, adjusted EBITDA for the quarter was $55.6 million. Interest expense for the quarter was $9.5 million or 1.9% of revenue, up $8.8 million due to rising rates increased inventory and the long-term debt related to IGY. On the bottom line, we generated GAAP net income of $19.7 million or $0.89 per share. On an adjusted net income basis, excluding acquisition costs, Hurricane Ian expenses, the change in fair value of contingent consideration and intangible asset amortization, net income for the first quarter was $27.3 million or $1.24 per diluted share. Moving on to our balance sheet. We ended the quarter with cash of $178 million, down from the same period last year due primarily to the acquisition of IGY. Our inventory at quarter end was up 86% to $605 million from last year. Close to 20 points of that increase is due to an increase in boats in transit that can't be delivered as well as greater deposits with manufacturers than a year ago. But as mentioned earlier industry inventory as well as ours has built back quicker than expected. Most of the build is in smaller more seasonally-sensitive product. It is nice that our stores finally have some product to show customers to help get them into the boating lifestyle quicker and easier than the last few years. Consistent with the comments we made on our year-end call in October, we continue to expect leaner inventory on larger more complicated product. Compared to December 2019, we now have about 58% of what we carried then in terms of units on a same-store basis. Our balance sheet at December 31st reflected over a $280 million increase in property. The increase is primarily related to the purchase of IGY and a couple of smaller acquisitions. Looking at liabilities, our short-term borrowings rose more than $225 million largely reflected in the increased inventories and timing of payments. Customer deposits not surprisingly decreased sequentially from September and also versus last year. However, the level of deposits and our backlog are historically very high. Consistent with the guidance on our fourth quarter earnings call, debt to EBITDA net of cash was less than one times at quarter end. Our balance sheet reflects the $400 million of term debt used to finance the purchase of IGY. Available borrowings at December 31 totaled about $250 million. Turning to guidance. Based on our first quarter results and the most recent industry data showing greater softness in new boat registrations, than we had anticipated, along with building inventory faster than expected, we believe that it is prudent to lower our 2023 guidance. In general, the retail registration data suggests the industry has returned to its historical seasonal buying patterns, combined with tougher economic trends given the Fed's continued interest rate hikes, although admittedly it is hard to determine the difference between softness and seasonality. Where we originally thought the year would see mid-single-digit unit declines, we now believe it is prudent to think that a high single digit unit decline is more likely for the industry. Likewise, where we originally expected our same-store sales to be flattish, we now anticipate a modest decline. We do believe our SKU to premium product will help protect us from the larger industry trends. We expect margins to be consistent with our past guidance, which was a modest decline from 2022, but still in the mid-30s. SG&A will be slightly elevated, but should improve seasonally. We also are assuming interest expense remains elevated due to increased inventories, as well as rates. We assume a share count of 22.7 million shares and a tax rate of just over 26%. The tax rate increased due to assumptions around geographic sources of income, certain rate changes and fewer deductions from stock-based compensation. On the bottom line, we now expect our full year 2023 adjusted earnings per share guidance to be in the range of $6.90 to $7.40. In addition, we are forecasting 2023 adjusted EBITDA to be in the range of $275 million to $300 million. Looking at current trends, January was strong last year and this January looks like it will be later last year, but in line with our guidance overall. Those who follow the industry will recall that March is by far the biggest month of the quarter, and historically has been as big as January and February combined. Boat show season has started and early reports are encouraging. Lastly, underlying demand remains healthy especially for the premium segment. With that, I'll turn the call back over to Brett for some closing comments.
Brett McGill: Thank you, Mike. At MarineMax, our mission is clear to provide the world's best pleasure boating experience by consistently exceeding the greatest expectations of our customers, our team members and our shareholders. Across our organization, we continue to capitalize on the significant surge in people enjoying the boating lifestyle that has happened over the last few years. It's why we are so focused on service and why I am so proud of our team's performance at keeping our customers happy, which ultimately yields greater future business. This combined with our strategy focused on gross margin expansion will continue to yield significant cash flow growth. Recreational boating is a $57 billion industry in the US alone. And as a global company, MarineMax is just beginning to tap into the full potential of this fragmented market. We continue to execute on our strategic growth plan to drive sustainable value for stakeholders through a diversified business model built on premium brands, global marinas, world-class services and innovative technology. We are well positioned for 2023 and beyond. And with that, operator, please open up the line for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of James Hardiman with Citi. Please proceed with your question.
James Hardiman: Hey good morning. Thanks for taking my call. Good morning. So, I just want to get sort of an order of magnitude of the ASP benefit that you're getting here. I know Mike you said, units, I think you said were down double digits, but better than the industry, which I think was down I don't know 30% somewhere in there. Can we sort of narrow that range down a little bit? Just trying to get a feel -- it seems like there was a big ASP benefit in the quarter just trying to triangulate that?
Mike McLamb: Hey, thanks, James. Actually I think if you look at the segments that we primarily operate in the industry is probably down something like 35% or more in the December quarter. And if we're at a negative 1% same-store sales and I said that our unit growth was a heck of a lot better, if you assume we're maybe in the mid-20s in terms of units down, we had a very significant increase in average unit selling price in the quarter. It reflects really the migration to larger product more premium product, which is really the -- how MarineMax has changed over the years. That's kind of how our business model is these days. 
James Hardiman : Got it. And then you basically lowered guidance by about $1. We didn't actually have what your expectation was for the first quarter, but I'm just trying to figure out how I should think about how that $1 is distributed between what's already happened and how you're thinking about the rest of the year?
Mike McLamb: Yes. It's basically the miss if you will from last year deflated a little bit for the revised guidance that we had when this year started. Plus as I mentioned we had some elevated costs, although, seasonally they should align a little bit better. Plus we are expecting inventories to be higher this year just given how fast the supply chain is built back and then a little bit softer retail expectations. And then our tax rate changed from 25% to just in the low 26s has an impact also. So when you factor in those different variables along with the same-store sales decline that I mentioned in our prepared remarks versus flattish being down just a little bit has an impact on EPS. You should get right into our range that we gave in this year -- in this quarter's release. 
James Hardiman : Got it. And maybe a follow-up on the inventory piece. I think you said that versus 2019 you're down what 42% right, 58% of 2019 units?
Mike McLamb: Correct. On a same-store basis that excludes all the…
James Hardiman : On a same-store basis.
Mike McLamb: Correct. Yes that excludes all the acquisitions. And dollar-wise we're probably down I don't know it's probably 30% or something like that due to inflation and a larger product and so forth. But units are down and dollars are down. 
James Hardiman : But what's the -- what is -- I'm assuming you're not looking to get back to 100%. It seems like most boat dealers are looking to get a little bit more leaner have more turns over the course of the year. What do you think target is for that number relative to 2019? And when do you think you'll get there?
Brett McGill : Hey, James, we're talking -- this is Brett. We're talking to our manufacturers kind of every day, I would say, just to kind of try to keep them informed of what we're seeing with retail. And we still don't have a magic number other than we want it to be less than we've historically operated at. But we've got to kind of coordinate that with acquisitions and the growth. And candidly we have a lot of new brands in stores that we didn't carry in 2019. So that has to factor in as well.
Mike McLamb: It's a focus on really inventory turns more than just a dollar level. And I would say, as we've said on past calls all of our manufacturing partners and us and I think most in the industry have the same desire, which is to get to a healthier point. And the discussions that we're having are all very, very positive and very constructive with our manufacturing partners. And so we're all headed in the right place. It's -- obviously, it's a little tougher to get there, but we're all working on it together.
James Hardiman : Sure. Is there a way to think about inventory turns versus 2019 then?
Mike McLamb: I think, it's premature now. I think, we'll keep working on the overall goal with our manufacturing partners and work to obviously improve our inventory turns.
James Hardiman : Got it. Good stuff. Thanks guys and good luck.
Brett McGill: Thank you, James.
Operator: Thank you. Our next question comes from the line of Fred Wightman with Wolfe Research. Please proceed with your question.
Fred Wightman: Hey, guys. Thanks for the question. I just wanted to sort of maybe put the current industry thoughts or outlook in the context with what you guys talked about last quarter. So I think if I remember you were talking about some softer back half trends in calendar 2022, but you didn't really expect 2023 to change a whole heck of a lot from there. Can you maybe just explain or expand upon what has sort of changed from an industry perspective today versus October?
Mike McLamb: Yes. I can make a comment and then Brett – I think our comments in October, we just let 2022 – the month of October registration data was not out yet. We had commented we were having a very good October, which we did. On that call we said, we expected the industry to be down, I think we said mid-single digit – low- to mid-single digits something like that. Looking at the data for October, November and December, the registration data and you got to recognize that there's inventory out there now for sure of pontoon product and some other product. And you're seeing the registration data, which to us was less than we were expecting. And others in the industry may have different opinions. But to us, it's less than we were expecting and it is difficult to break apart what seasonality and what's economic-related. But now we're one quarter into it. So we're just reflecting back that the industry overall is probably going to be further down than we had originally thought. And I think we're saying high single-digit now. So the big difference is just three months of registration data that we have now Fred.
Fred Wightman: But that was – I mean if I remember – just to be clear, it always gets a little confusing. You're talking about fiscal year comments, or are you talking about calendar year comments here?
Mike McLamb: Yes. It's a very good question and we get that from time to time. When we give industry comments, we're talking overall the industry during our fiscal year. So that'd be between October 1 through 9/30 is our commentary that we make.
Fred Wightman: Okay. Got you. And then just a clarification. I think your guidance was for a modest decline in same-store sales. Can you put some benchmarks around that? Is that low single digits mid-single digits?
Mike McLamb: Yes. No low single-digits.
Fred Wightman: Okay. Got it. Thank you.
Mike McLamb: Yes, thanks.
Operator: Thank you. Our next question comes from the line of Drew Crum with Stifel. Please proceed with your question.
Drew Crum: Okay, thanks. Hey, guys. Good morning. So the gross margin in fiscal 1Q my sense is that was maybe a little bit better than you thought it would come in at. But the guidance for the year is unchanged. Can you talk about what your expectations are over the balance of fiscal 2023 and the puts and takes there? And then I have a follow-up. 
Brett McGill: Yes. I think that a little bit of conservatism in there just based on inventory build and some discounting out there, although we've held really – all the premium product seems to be holding up real well but probably just a little bit of that baked in. Mike? 
Mike McLamb: Yes it's really not a change from our guidance. And our guidance in October, we did expect a little bit of margin pressure and boat margins to compress throughout 2023. You add to the business $100 million plus of marina revenue, which helps to offset that. But we still think mid-30s is great. We think we're going to be in the mid-30s but slightly down from where we were last year.
Drew Crum: Got it. Okay. And then back in October guys, I think you provided some metrics on IGY, the $100 million plus of revenue, $40 million of EBITDA and a $0.10 contribution to EPS. Does that still hold, or are there any changes to that? 
Mike McLamb: I think generally that – those numbers still hold for IGY. We obviously are working through all the purchase price accounting and all the implications there. You can actually see that when you work through our numbers, they had a very nice contribution to this quarter. When you look at the manufacturing segment, if you factor that, we had negative 1% same-store sales growth you can see that they had a nice revenue push in the December quarter, which is good to see, especially in the quarter that we merged, which obviously creates some distractions. But I think we'd still stick by what our thinking was around IGY.
Drew Crum: Yes, okay. Got it. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Joe Altobello with Raymond James. Please proceed with your question.
Joe Altobello: Thanks. Hey, guys. Good morning. I guess first question on the financing environment. Are you starting to see more cash buyers come into the market? Are you seeing lenders pulling back at all, whether it be to consumers or on the floor plan side? 
Brett McGill: Yes. Joe, god morning. Yes, I'd say that our trends in the stores as far as closing deals, financing deals, all of that is holding up really well. The banks – we have a pretty resilient wealthy client we're lending to. So everything seems to be on track on par, I would say, wouldn't this? Agree Mike?
Mike McLamb: Yes. Actually the retail lenders love the marine retail paper. They always hold it. As I've said before there's never been a securitization of marine retail loans. They like it. The banks want it. I mean obviously rates have gone up. That's -- but in terms of how they underwrite, there's been really no changes. There's no increase in delinquencies or increases in losses. And on the wholesale floor plan side, I think the banks are finally glad. They got a little bit of inventory to get some interest on. So they're probably a little happier today than they were the last couple of years. But no, the relationship and the way they view the industry is very positive.
Joe Altobello: Okay. That's helpful. And maybe in terms of your same-store sales outlook this year, I guess you said down modestly. If you look at Q1, obviously, some weak unit numbers offset by much higher ASPs. Maybe help us understand how you're thinking about ASPs this year and when or if do you expect to see some level of promotional activity back in the market.
Mike McLamb: Yes. I'll comment. We generally see ASPs increasing every year. And I think this year will be no exception. We'll have an increase in ASP given the mix of our business, given cost increasing to a degree, although costs are definitely stabilizing and pretty reasonable on a go-forward basis. What was your second...
Brett McGill: And I think on discounting I think some of the shows that we've seen, there's been some discounting out there. Again it depends on the products. Smaller, little cheaper product, maybe is under a little more pressure, because there's inventory, all that's well known out there. But so -- yes, I think there'll be some pressure on some models and products to give a little discounting, but the premium stuff is holding up very well.
Joe Altobello: And if I could squeeze one more in and I get this question a lot. Any anecdotal evidence that both usage is coming down? Are you still seeing people -- boat owners still using their boats pretty regularly?
Brett McGill: Good question. Thanks for asking that. We watch it really close, right? We look at our marinas and we look at fuel sales, our getaways and events and attendance, and they're all sold out. People are boating here and there. You have a given weekend or something that's off compared to the other. But it's overall, I mean I'd tell you that's where we look. We look at website traffic to make sure people are out there looking on our website and it helps us understand seasonality a little, if they're still actively on our website. And then we look at activity in the marinas and boating and all of those are really good.
Joe Altobello: Got it. Thanks guys.
Brett McGill: Thanks.
Mike McLamb: Thanks, Joe.
Operator: Thank you. Our next question comes from the line of Mike Swartz with Truist Securities. Please proceed with your question.
Mike Swartz: Hey, guys. Good morning. I think you had mentioned that the boat margins really haven't changed to a great degree, maybe a little bit of compression, but maybe if you could drill down into that a little more. Are you seeing any softness in pre-owned margins relative to new? Maybe give us a little more color there.
Mike McLamb: Yes, I'll comment. I commented that if you remove IGY from our business, our margins were basically flat to last year. And so that would tell you that new margins are holding up pretty well in the quarter and used margins. So, I don't think we're seeing a whole lot of change in used margins in our business.
Brett McGill: Yeah.
Mike McLamb: No significant shift. I mean a little more inventory in both new and used, but we haven't seen any pattern or significant shift there.
Brett McGill: And our used, as you know Mike, the trades were taken, right? Whether we took them -- we take trades last year and also this year. And the margin structure and the profile, tends to generally be the same. So...
Mike Swartz: Got you. Okay. And as it pertains to seasonality, I just wanted to touch on just the boat show calendar and maybe your presence. I think you've pulled out and/or downsized some of your activities around boat shows in the past couple of years. But I guess how does that give you more or less visibility in the seasonality, does it change anything? Maybe from a cost perspective, should that benefit certain quarters relative to others? I guess, how do we think about all that together?
Brett McGill: Yes. Boat shows are -- we've really done a lot of work studying the boat shows all across the country, and there's a handful of shows that really perform well and give you that good index. And then there's other shows, that you go you spend a lot of money and you sell to the people that you've been working on working with for a year anyway. And I don't want to get too deep into that. But of course we get gauges of -- whether we're there or not we know how many people went through the turnstile. We know how many people attended our events at the store. So I would say, when we're kind of through the boat show season here coming out of March, we're in all the right places to understand all of those trends and capture all the sales to be add. And I don't know if that hits what you wanted to know but we have a good pulse on it.
Mike Swartz: Okay. And maybe if I could just slip one more in, I think Mike when you were giving kind of the puts and takes of guidance you said, one of the negatives will be having more, inventory which I presume would largely impact your flooring interest expense. But are there any additional carrying costs to think about as some of that inventory comes back?
Mike McLamb: Good question, Mike. I mean obviously interest expense is one that's very clear in the P&L. You do have -- you've got to maintain the inventory and costs. So you do have some additional costs that run through the financial statements that don't get line item out like interest expense to us. So there is some additional cost which is factored into our guidance already.
Mike Swartz: Okay. Great. Thank you.
Mike McLamb: Yeah.
Operator: Thank you. Our next question comes from the line of Eric Wold with B. Riley Securities. Please proceed with your question.
Eric Wold: Thank you. Good morning. Just a couple of follow-ups on some of the prior comments Brett and Mike, I guess, on inventory I think you made a comment that it's 58% on a same-store sales basis for 2019 and you're kind of talking to the OEMs about where you want to end up. Is the inventory level right now a good level for the guidance you've given for this year? Once again is it a healthy level? Are you concern that it may be too high, or is it more in line with kind of what you would need, or are you comfortable if that number actually goes up from here into your guidance given that you still are somewhat under where you were before?
Mike McLamb: Yeah. Actually that's a really good question. Our guidance assumes inventories do build seasonally, like they historically did from now into March and then, begin to drop in June. The question is to how much do they drop is a little unique this year, because we're still so lean on a lot of different boat and models, right.
Brett McGill: Yeah, I was going to comment. I wish it was just flat line answer like that, but we have models that we won't even have any inventory of certain models and even of some brands where we won't have much inventory and then others where we have some. So it's still -- I would say in a couple of cases we have enough boats right now. And it'll build maybe a little. In a couple of cases we're way short.
Eric Wold: Helpful. And then just a follow-up question, maybe the comment earlier that the higher-end customer the premium products kind of providing some insulation. But obviously there's not as many boats and any one [Ph] kind of that price point and the inventory is still a little lean there. Are you seeing anything that's showing some of that softness in demand that's kind of hitting the industry on the lower-end is creeping up at all in terms of the middle to higher-end buyer, or is that just tough to gauge, or one if you are -- if you're not or two is it something age because of the inventory situation?
Brett McGill: Yeah. Eric that's a great question, it's actually what I'm trying to look at kind of in the last quarter. And it really -- yes, we saw it creep up into that kind of come up from where it was let's say three months ago. But I think it's really seasonally-related. Since we have stores all over the country you can kind of connect those dots. So it appears that I'll call it, softening in this last quarter in that a little higher segment than the low-end I think is seasonally-related, but we'll see, how these show go and how the spring comes together. 
 : Got it. Thank you, Brett. Appreciate it.
Brett McGill: Thanks, Eric.
Operator: Thank you. Our next question comes from the line of David MacGregor with Longbow Research. Please proceed with your question.
David MacGregor: Yes. Good morning, everyone.
Brett McGill: Hi, David.
David MacGregor: Mike, you guys have been very active on M&A over the last few years. And I guess I'd like to get your thoughts in terms of how you're thinking about how much capacity you have, from a balance sheet standpoint for continuing to acquire? 
Mike McLamb: Good question, David. I'll comment and if Brett wants to chime in he can too. But we're -- our balance sheet has always been a great resource and asset for us and it still is today. Our debt to EBITDA is less than 1 times. The company has flown strong cash. We are in discussions with various different organizations. Where we can find great companies, with great management teams that can help drive future earnings and cash flow and growth for the company, we're certainly still interested in those. And we believe we have the financial wherewithal to grow accordingly. So... 
Brett McGill: We continue to stay focused on -- as opportunities come in front of us obviously, a little more prioritization is going to be in play and some timing and things like that. 
David MacGregor: Just on that M&A topic, I mean the targets of your acquisitions lately have been somewhat diversed in terms of the nature of the businesses. And how do you think about priorities or white space or just where you need to go next in that endeavor? 
Brett McGill: Well, I think I'd say -- I'd speak to what we talked about in kind of our comments, IGY brings a whole new growth platform for us. And some of those include very low capital ways to grow, and some might require a lot more capital. We'll continue to look at our digital approach and the dealership business is still very important to us. And then of course, our growth with new brands and the brands that we've taken on over the last couple of years that candidly we're just getting started with brands like Aviara and whatnot are just really getting started. 
David MacGregor: And with New Wave Innovations, that seems to provide you with a little more scope. Where do you set the guardrails on that in terms of where you're willing to go where you're maybe hitting limits strategically? 
Brett McGill: Yes. I think we've been very strategic about the companies that we have there Boatyard and Boatzon and kind of do they fill a very front-to-back experience for the customer. So that's where we're focused. I wouldn't say, we're going to get wildly out of that scope. I think those two tools have some really good opportunities in the future here for us. I'd say, we'll stay focused there because that's a front-to-back solution for the consumer to -- and that's our goal to create a better experience for the customer. 
David MacGregor: Right. Right. Okay. Thanks very much. Good luck.
Brett McGill: Thank you, David.
Operator: Thank you. Our next question is a follow-up from the line of Fred Wightman with Wolfe Research. Please proceed with your question. 
Fred Wightman: Hi, guys. I just have a quick clarification on the EPS guidance. All of the add-backs that you're providing in the non-GAAP EPS number, were those all contemplated in the $7.90 to $8.40 that you gave last quarter? I know that you had given us some hurricane impact reconciliation for fiscal 2022, but I just want to make sure that it's sort of apples-to-apples the updated non-GAAP guidance versus what you guys had given previously. 
Mike McLamb: That's good question, Fred. Yes, it's all contemplated. It's apples-to-apples. 
Fred Wightman: All right. Great. Thanks so much.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. McGill, for any final comments. 
Brett McGill: Well, thank you everybody for joining the call this morning. We're excited kicking off some boat show -- boat show season coming up with the Miami Boat Show here in a few weeks, kind of then falling into Palm Beach and many others around the country. Hope to see you out there and look forward to talking to you on our next call.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.